Operator: Hello and welcome to the Randstad's First Quarter Results for 2021. My name is Jess, and I'll be your coordinator for today's event. [Operator Instructions] I will now hand you over to your host, Jacques van den Broek, CEO, to begin today's call. Thank you.
Jacques van den Broek: Yes, thank you, Jess. Good morning, everybody from a sunny Amsterdam, which I think is symbolic for the numbers we're presenting with you this morning. I'm in our conference room at head office together with Bisera and Steven from IR and of course, Henry and I'm wearing a suit. Maybe you can't hear that, but I'm wearing a suit, so it has been a long time ago. Yeah, we had a solid start in 2021, as you can see. And as we said before, we feel we're stronger and we're very well positioned for what we called in our press release, a truly dynamic world of work. What we mean by that is that it's not business as usual and it's going to be about talent strategy, scarcity, immigration and rescaling, so very interesting to be in this space. We generated a strong set of results in the first quarter growing 6.4% and very positive momentum across all of our geographies, despite still a lot of local lockdowns and of course, still micro-economic uncertainty. And we created for you a new slide relatively which is going to be the next one just to show you that in a way 2020 is a less relevant year and normally we compare, of course. But now we benchmark ourselves against 2019 and that's what we would like to show with you, to show you and share with you. We exited the quarter with double digit revenue growth, but activity momentum in April 2021 is as I said, reaching these levels of 2019. We continue to see good momentum for accelerating our investments in growth and digitization of our company and at the same time using the flexibility of our core space. We already welcomed 1000 new colleagues, and again, most of them have been inducted virtually and - but at the same time, we also improved our productivity. Most of these people came in at the end of the quarter. So their productivity is still relatively low, but still good to see that overall, we improved the productivity. That delivered of course, a solid EBITDA margin for the quarter, and a strong recovery rates. Almost all regions grew in Q1 with outperformance in markets such as the U.S., France, Belgium but we're also ahead of market in Argentina and Brazil. And they delivered an outstanding performance, little bit more on that when I comment around the rest of the world. Inhouse, the eternal winner, fortunately, in our business mix continues to perform well. And we're very pleased to see our industry fundamentals are reconfirmed with the Staffing penetration rates bouncing back quickly, which, for example, is very interesting in countries like Italy, but more than later. Our #newways program continue to help clients operate safely and efficiently. And as markets gradually reopen, and people start returning to the workplace, we are ready to support them as they adapt to the rapidly evolving global economy. There's got to be work for almost everybody, we've got to be short of people but at the same time, underlying there need to be massive rescaling for mostly white-collar jobs into technology, engineering, education, healthcare, e-commerce, those kinds of sectors. Our first priority still is the health and safety of our employees, candidates, clients and other stakeholders. And I would once again like to thank my Randstad colleagues for their incredible commitment and dedication during these extraordinary times. So let's go to the next slide, which I already introduced. And you can see the yellow line that is 2021. We're really, really getting close to April - to 2019 in April. So, very happy with that. I've said because it's so tough to call, you're probably going to ask us a lot of questions about the trends. And what remains is the visibility, right? So it is six weeks but yeah, as always, so far, so good. Strength of our performance in this first quarter gives us confidence for the remainder of 2021. But we still of course, and of course in this morning, I heard Boris Johnson say that, there might still be and we need to live with the virus. That's true but for us, so far so good. So the 1000 people, that is a large beginning, but it might still be that we take in more people, as we see more momentum in many markets. So let's go on the next slide to our two biggest markets, North America. Yeah, they continue to grow, very strong growth in Staffing. I mentioned in former calls that many new own sites that we opened in our Inhouse business, and that of course helps to grow. Yeah, and it's getting tougher to find people already in our Staffing business. 12% growth in Staffing and Inhouse, 7% in Q4, so speeding up. As you know, Inhouse is mostly in sectors like logistics, food retail, and the likes. US Profs, a mixed picture, definitely resilient performance of our technologies business and of course, it was stable throughout the year. The U.S. has still a relatively tough comps compared to Europe, because in Q1 last year, the business didn't go down, so this growth is very strong. In the U.S., in the beginning of the year, Jan and Feb, we had some margin issues on state unemployment insurance. We have a specific group in our IT business, they are immigrants, they work on H-1B visas, and we have them on our payroll, we support them. But in the beginning of the year, we had some idle time in Jan and Feb, that in March is already largely out. So the overall margin in the U.S. is back to normal levels, I might say. Then France, yeah, for already three quarters France is a very happy story, which is not so much maybe the economy of the country. But we do very well. Ahead of market, we continue to see strong demand in sectors, that's food retail, again, healthcare, and we're by far market leader in healthcare in France, logistics and driving Inhouse to growth in the quarter. Also Profs turning into growth territory, mainly driven by our healthcare business. And we observed continued recovery in the perm fees, growing again 3%. So yeah, very, very nice surprise there, again, mainly driven by Profs and perm - and Profs. I want to - we want to single out - I want to single out Ausy. So Ausy is our Statement of Work business in IT and engineering where we made quite some changes, the new leadership, we appointed Jérôme Gontard. Jérôme has been with the business many years. He ran the business outside of France. We named Jerome CEO, brought in a new CFO and Jérôme and his team really get back to work. And mainly our French business is not well positioned in terms of sectors. When you look at COVID, so aeronautics, airlines, but they really did an excellent job on improving the productivity and what we call, diminishing the bench in France. So that really helped our results in France. So well done, Ausy team and we like more of that. I know they're on the call, that's why. The Dutch business, yeah, again, strong performance there. We're getting closer to market, so good. We see continued recovery in the automotive manufacturing, where again, sectors as healthcare and e-commerce continued to perform very strongly. We opened 19 new Inhouse locations this quarter alone, so very strong start of the year. And we do expect this to help our revenue going forward. Randstad attempts to team up strongly and in Yacht already a strong performance last year, but they exceeded 2019 levels, which we think is a remarkable performance in these role of our teams. So very well done, Yacht and also BMC our acquisition in this field. EBITDA margin came in strong 6.4, strict cost management but also less sickness, we carry our own sickness risk in the Netherlands and that helps in this case, in margin. Germany, growth again, 2018 was the last time we saw growth, so 5% this quarter, strong recovery for the quarter, and very prolonged certainly in Germany macro-economic headwinds, which started in the second half of 2018, as I said. Industrial sectors like automotive and manufacturing continue to recover. And at the same time, our #newways program, we've seen increased commercial activity in our German business, so well done, good growth and we're still going to work on the returns, of course. Our Belgium business, ahead of market, slight growth, Belgian business, Belgian market as also the Spanish markets, a little bit later, they are still a bit subdued. The lockdowns have an effect on sort of theme parks, that sort of thing which would normally open this time of year, that's not the case. What we also saw, very surprising, is a strike day in Belgium. I don't really understand why we should be striking when we need to get out of an economic crisis but that's a different topic. Very well performing Professionals business, again Ausy also in Belgium, did very well, so also compliment for our Professionals part in Belgium. Italy, again, Italy 20% up, so they are also ahead of 2019. Italy is an excellent example of a still relatively immature Staffing market, there. European average is 2.3%. Italy is probably at 1.3%. So we do see structural growth opportunity, given the still low penetration rate. We're also opening branches in Italy. If you look at our network, in Italy, it's relatively less dense compared to our other major markets. Now we got a lot of questions about branches, well, if you penetrate a new region with a branch, of course that will be digitized and you create new market opportunities. So very well done and a great EBITDA performance based on also productivity gains. As I said, Iberia, a little bit slower to recover. What we see here is an aspect you probably know, and that is based on the semiconductor shortage in automotive productivity or production certainly in Spain, is a bit subdued. But we think it's short lived. So there's still some promising there of the growth, also picking up in Spain. And I said, well-run company, so they managed to keep their returns stable. Mixed picture in the Other European countries. Good growth in UK, and a strongly increasing growth into the next quarter. And I want to single out Poland with 40%. And this is not a small business, we're market leader here. In the Polish business, yeah, the bill rates are very lower than the rest of Europe. But this is a very sizable business where we have 1000s of people at work, so very well done, of our Polish colleagues. Then the Rest of the World, you know, for me, this is a gift that keeps on giving, really firing on all cylinders. Japan, 4%, very strong performance, good profitability. LatAm, so I want to single out Brazil, didn't talk too much about Brazil. But of course in our portfolio, we have a few long-term promises. India is, of course, a well-known one of those, China is, but certainly Brazil, a subcontinent in Latin America, under the leadership of Fabio Battaglia doing very well. I think we're currently looking for close to 100 people, new colleagues to fuel the growth in Brazil and getting to a number one position. And Fabio has also said to me, that in Staffing, that he also wants to go for the number one position in Professional. So good for you, Fabio and team, keep it up. And Argentina, where we have 20% market share now. So we lead with 20% market share, all organic, excellent performance. And then look at profitability, right? So growth is one but this whole region comes in at above group profitability. So you know, very happy with their performance. And then the global businesses, this is a business, which is really our future. I've talked a bit about Monster. So Monster is rolling out the new technology in two parts there. So first, there is the, call it the seeker part. So the candidate part, that is almost now fully implemented in the markets where Monster is in and we do see good, increased fishes but certainly apply starts. Apply starts are important because then people leave their resume, and they become part of our database. And as you know, we want to be built the biggest talent engine in the world. So Monster, having accessible, good technology will definitely help. We're now rolling out the company part which has a lot of dynamic pricing than e-commerce suite. That will probably go into Q3 but really setting up for success. Very happy with that, took us some time but well done Monster team. Keep at it. And what is important is all the technology delivered for monster, the websites and what have you, is dedicated and developed for the rest of Randstad. Then Sourceright, a very strong pipeline in RPO, which I think is a good sign of things to come. And then our RiseSmart business was already very strong in the U.S. last year. We now see a lot of growth in the European business. Increasingly, this is not so much purely about our placement, increasingly about what we call total talent management. A lot of talks with companies on what does your workforce look like in the future back to this rescaling agenda? So, you know, overall lots going on in this business. And what does that mean for the numbers? Henry?
Henry Schirmer: Thanks, Jacques. Good morning, everybody. Yeah, so the company delivered yet another strong quarter and most importantly, returned back to growth in more and more businesses units are even exceeding 2019 top line numbers already. Our focused delivery accelerated profitable growth, gave us another quarter of best-in-class returns, and even more importantly, is putting us in the full position to fully utilize the benefits from an ongoing, strong market recovery in 2021 and beyond. So we benefited from our diversified geographical footprint with excellent growth coming from the U.S. and rest of the world. And also our differentiated concepts such as Inhouse and the deep market penetration sectors like logistics, e-commerce, healthcare and government, continued to perform well. Revenue growth in quarter one came in at 6.4% and the growth momentum continued to improve further throughout the quarter. The recovery of volume and revenue is broad-based, all countries and all positive growth in March. I'm especially pleased with the fact that we continue to achieve market share gains in significant parts of our portfolio whilst respecting the need to drive pricing discipline. Gross margin in the period came in strongly, up 30 basis points sequentially, however, still down 20 basis points year-over-year, that we'll go more into detail on the next page. With regards to OpEx, we delivered another quarter of balanced cost management with operational expenses being stable organically year-over-year. However, you also know the secret that we are pushing hard to invest into our growth capacity well ahead of the recovery curve. And if anything, we would love those investments taking hold even faster than what we're currently experiencing. We continue to operate from a position of strength and our recovery ratio over the last four quarters of 51% is well in control. As you would expect from us, we also accelerated investments into our digital journey. And we will stay the course going forward. EBITDA came in at €202 million, at the margin with 3.7%. Of course a momentous improvement compared to last year but maybe more telling, not too far off from our 2019 level. On the next line, integration and one-offs were €27 million, positive this quarter. And this includes the book profit of €35 million related to the disposal of the minority stake in Alma Career, partly offset by smaller restructurings in several countries. The underlying effective tax rate came in at 27.4% for the quarter. For full year we expect an effective tax rate between 26% and 28%. Let me now take you to the next page to talk about gross margin in a bit more detail. But here we go on Page 15, the gross margin bridge. So the first red bar shows the temp margin which is stable year-over-year. The temp margin saw the annualization of COVID-19 related effects like idle time but somewhat offset by some working day headwind. Most importantly, we can confirm a generally stable pricing climate across the board. And the bar on the middle projects a 10 basis points negative mix effect triggered by a 5% decline of perm activities. That is a significant but expected improvement versus the perm mix effect we've seen in quarter four, which was 30 basis points down. And lastly HR Solutions represent a negative mix on overall gross margin of 10 basis points pretty much in line with quarter four. So whilst our gross margin path remains difficult to predict, we reiterate the importance to safeguard attractive gross margins in all our business activities, also achieved through smart, very base pricing, strategic mix management and winning mass customized digital support. That gets me to the OpEx bridge on page 16. Here we go. So with volumes and revenue getting closer to 2019 levels, it is important to understand how we see OpEx in the space of the recovery. Our OpEx management tries to secure the full and speedy recovery of the top line, the full utilization of further growth momentum in our markets and uncompromised investments in our digital capabilities. In that context, we reported organic OpEx sequentially up €12 million and stable versus last year. In a bit more detail, this means that personnel expenses increased by 7% sequentially. It represents about 1000 FTEs more on our payroll. Despite the drive for accelerated growth, we continue our tight field steering which yielded a solid 10 percentage points improvement on our productivity measured as gross profit per FTE on a year-over-year basis in quarter one. Our cost optimization program is in full swing as we continue to identify productivity opportunities in order to create room for additional investment and to accelerate the growth and the continued transformation or digital capabilities and automation. That productivity journey has become part of our DNA and we will provide ongoing self-help to secure sufficient fuel for growth and market leading profitability. Since we announced the journey back in November 2019, more than €100 million of structural cost reductions have already been identified across all cost categories, utilizing the [power] of one runs that now and also going forward. We continue to nurture a climate of entrepreneurship within the company where smart growth initiatives can and will be fully supported with appropriate investments. And with that in mind, let's now move on to our cash flow and balance sheet on Page 17. So we generated a free cash flow of €4 million in the first quarter, up €16 million year-over-year, and EBITDA did fund operating working capital including the settlement of governmental relief measures totaling €85 million. Very tight credit control and debt collection helped out these all to improve year-on-year and through the entire COVID period. CapEx in quarter one increased by €19 million reflecting our ongoing digital investments. Let's now zoom in on our strength for our balance sheet on the right side of the chart. At the end of March this year, we reported a net cash position of €387 million, excluding lease liabilities with a leverage ratio of minus point 0.5, pre-IFRS 16 and regular dividends of €1.62 per share, and dividend on preference B and C shares, paid out on April 6, totaling €306 million. That already brings it to my last chart, the conclusion outlook, Page 17. As stated before, the pace of revenue recovery sustained throughout the first quarter and is broad based across our portfolio. At the same time, visibility remains limited, especially with ongoing macro-economic uncertainty due to COVID-19 pandemic. The development of volume in April is reaching 2019 level with continued to improved momentum. The latest trends show that April activity momentum accelerated compared to the March exit rate, which was 40%. For quarter two gross margin is expected to be slightly higher sequentially due to seasonality. And OpEx, however, is expected to increase low-to-mid single digit percentage sequentially, driven by accelerated investments in growth, considering our expected growth momentum. As you know, we are aiming for an incremental conversion rate of 40% to 50% over time. However, for quarter two this year, we expect an incremental conversion rate of 50% to 60%. And lastly, let me mention that there will be a positive 0.6 working days impact in quarter two. So that concludes our prepared remarks. And we're now happy to taking your question. Back to you, Jess.
Operator: Thank you. [Operator Instructions] And the first question comes from the line of Paul Sullivan from Barclays. Please go ahead.
Paul Sullivan: Yeah, good morning, everyone, just a few for me. Firstly, just on gross margin, shouldn't we expect the bounce in the second quarter to be slightly bigger than the slight improvement that you're sort of alluding to? Maybe you could go through the moving parts there. And then secondly, on the ICR, clearly outperforming in Q2, do you think we should be or well we should expect some of that to reverse in the second half and your thoughts on the investment into higher growth as that continues through the second half of the year? And then just finally, your thoughts on sort of candidate wage inflation and when does availability starts to become problematic for you? Thank you.
Henry Schirmer: Yeah, let me take the first two. Hi, good morning, Paul. Yeah, as far as GM, gross margin is concerned, look, there's not too much to add to what I've said. Of course, it's good to see that perm, our perm business has got good momentum, that's always helpful. Also 0.6 better days in quarter two is good. We definitely also start with value-based pricing, but don't animate the impact of mix. We have a very, very strong performing in our business, 13% this quarter, 8% last quarter, that definitely also have an impact. So unfortunately, I can't give you a bit more steer there. So as ICR is concerned, as you know, we really we've - we've been quite vocal that we want to drive growth and want to really benefit from what we believe will be kind of good year in there, but we stay very close on the ball. So giving you any insights into H2 would even kind of be bigger than what we see. We really, as Jacques always said, we look in the next six weeks and really dialing up - up and down. At the moment dialing up, well we stay close on it.
Jacques van den Broek: Yeah. And again, Paul, the speed of recovery also hinges around the speed of vaccination, which of course, although we do support some of that, it's not our call. So remains to be seen. Candidate scarcity, yeah, well, again, the old themes are back. So people are tough to find. Specifically in U.S, you got the COVID support, which is good for people, but at the same time, you need, surely in Staffing, quite an hourly rate for it to be attractive to work. So we do expect this to have an upward effect on wages, but a bit early to call that's the U.S. where it's always react quicker. In Europe, this is very much also, based on collective labor agreements or what have you. So always the reflects there is later so might be seen this year, but certainly early days now.
Paul Sullivan: Great, thank you very much.
Operator: Your next question comes from the line of [Oscar Varma] from JP Morgan. Please go ahead.
Unidentified Analyst: Good morning, everyone. Can you hear me?
Jacques van den Broek: Yeah.
Henry Schirmer: Yes.
Unidentified Analyst: Okay, perfect, so two questions from me. The first one really on kind of the Q1 impacts on either transport and logistics and then vaccination. So the first one on transport and logistics, it was a strong Q4, could you maybe comment on what you've seen in Q1? And what your thoughts are for the full year in terms of what you think if there's any slowdown in logistics, or kind of e-commerce transport volumes? And then also in terms of vaccination, you've talked about it being a benefit for the group, how material is it? And is it material in any specific regions like Italy or the Netherlands? And then maybe the second topic on market share, you've talked about taking market share? Could you give kind of concrete examples of where that has happened? And why you've taken market share? Has it been competitors not being not being able to compete in terms of digital products or are there any other reasons why you're taking market share?
Jacques van den Broek: Yeah, there are quite a few reasons why we take market share. The first one is I think we called the return to growth rather quickly. So we started, we announced this #newways program to aggressively invest in sales activities. We have digital support, so in that sense, back to your question. Yeah, we can point our people to where demand is. So that helps. We have a two weeks global call with all our management, how we're doing. We have a stack ranking own activities, we share best practices. So yeah, although 2020 from a COVID point of view was of course not a great year, but we learned a lot as a company to beef up our presence in the market and make it relevant from a content point of view, also for our clients in this COVID time. So that has helped. Yeah, and next to that, we have our Inhouse business, which is very much geared towards quickly reacting businesses up and down. And apparently, the story is, well, like I mentioned the 19 branches in the Netherlands alone. I mentioned the U.S. last year, so that has helped us a lot. The COVID related activity is material in the Netherlands less material in other countries. But yeah, this is, call it communicating vessels. If COVID support goes down, the economy goes up. And again, Henry call this, fish where the fish are. So that's where a lot of fish is. So they were there and if we get the chance to support, we're going to do that. Yeah, how that goes into next year. I think the beauty of this business is always, we don't know. So that keeps us on our toes. And then time will tell but yeah, you know, we're optimistic based on what we see now.
Henry Schirmer: Yeah, maybe, if I can chime in. Hi, Oscar, on the transport and distribution, made up about 25% of our revenue in quarter one, with definitely higher growth dynamics than the rest of the group. So let me let me stay there.
Unidentified Analyst: Okay, that's perfect. Thank you.
Operator: The next question comes from the line of Anvesh Agrawal from Morgan Stanley. Please go ahead.
Anvesh Agrawal: Hi, good morning. I got two questions as well. So first, obviously, we've seen a very fast recovery and probably better than what we were expecting. But outside the cyclical pick up, anything structural you have seen so far, that sort of gives you confidence that next cycle overall will be better than the last one and therefore, you can grow at a higher rate for a longer period of time, and not just the cyclical momentum you're seeing? And then second, looking at the guidance on the SG&A of low-to-mid single digit and if we think about Q3, Q4, and I know you don't give guidance, but assuming that the activity level sort of remain in line with 2019, do you then expect the SG&A to sort of stabilize sequentially or that will continue to inch up as we progress through the year?
Jacques van den Broek: Yeah, Anvesh, good morning. Yeah, structural, that's always the big question, right? So what do I see? The first one is, as after any crisis, the first demand will be filled by us. So the second demand might be perm can also be filled by us. So again, back to former crisis, we have a way better presence in boom in RPO, that sort of thing. Then I already called out markers like Italy, but also Spain, which is still a very relatively low penetration rates. What's also interesting is legal systems. So we had a lot of populist stuff before COVID but I think we've proven as a sector, that we're very helpful to get people back into jobs to re-skill people. We think that will find its way into legal systems and of course, we lobby a lot. And we make proof points on the fact that everybody that lost their job is now back, that we can and we change people from sector to sector, nobody can do that, so certainly not public employment agencies. So that helps. Lastly, very interesting discussion is the gig economy, right? Did not - didn't exist in the last crisis. And you have the big debate versus societal. But now fortunately, also, the legal one is that the platforms that put people to work as so-called freelancers, is really not what you should be doing. And companies like [AJET], [Yezdi] takeaway are very vocal on the fact that they want people well secured on the bike. And then you know, where they are to help. So picking up aspects of this gig economy is, again, could be a structural driver. Please be aware that if 20% to 25% of people work flexibly in the labor market, we are just 10% to 15% of that. So we think there's a lot of upside.
Henry Schirmer: Hi, Anvesh. Yeah, thanks for the question regarding SG&A. I can only reiterate what I just said. I mean, we've really tried to stay very, very close on the ball. And as I said, in my remarks, we definitely want to support growth. We believe there's a lot of growth momentum, we are investing ahead of the curve, takes a bit of time to get people onboard and then making them as productive as possible. So it's actually a nice dance of saying that we have enough capacity in the business to grow, and ideally, grow competitively. So we'll have to see it, and then really making decisions more or less on a two-weekly basis, honestly. Maybe it's also good to just reiterate, we've kicked off that that cost saving exercise, and that is still in full swing. So we, just as a reminder, we are working on eight categories. We have a team working on accommodation, on fleet, employee benefits and insurance, inhouse procurement, IT costs, T&D, marketing and advertising and field productivity. And that is something where there is source energy in there because we're turning those productivity gains, also back into growth. So I personally can't give you more feel for the second half but definitely 2021 for us is the year of growth. And that for me is always the best program also then for the on-product productivity to the next level.
Jacques van den Broek: Yeah, maybe a final word of that because of course there's different ways of putting people in a business. So if we have an inhouse, we put people in. We have the revenue already and we put people in. These people are not so productive immediately, but it picks up very quickly. But then there's other businesses, right? So we also said we wanted to invest in perm really quickly, but it takes like at least nine months in perms to have people productive. We are investing in our IT business in the U.S., also in new regions. So that is, you know, that's more the long game, so to say. So when we try to also, with these investments not just follow the growth, but also create slightly different mix in our business, that comes with more costs, lower productivity, and we're quite bullish on doing that this year. So you know, it's very much a moving target going forward.
Anvesh Agrawal: Okay. That's clear, really. Maybe if I just asked a quick follow up. On the - on this cost saving, how much of that you are expecting to come through in 2021?
Henry Schirmer: Look there, we said we've already identified more than €100 million but we are taking the money and investing back into growth and while securing, really good market leading profitability. That's what we will continue to do.
Jacques van den Broek: Yeah, and again, this is not a stable thing, right. So when I'm going to fly, apparently, I'm going to fly cheaper than I did before because of the program, but I'm not flying. So you know, so it's not like 2019. And then, so if we will do absolutely the same in 2021, as we would be doing in all the categories as Henry mentioned, we will do it at less cost. But we're doing less so in that sense it's not comparable. So don't put in a €100 million in your Excel.
Anvesh Agrawal: Yeah. Okay. That's very clear. Thank you so much.
Operator: [Operator Instructions] And the next question comes from the line of Marc Zwartsenburg from ING. Please go ahead.
Marc Zwartsenburg: Yeah, thank you. Good morning, everybody. And first question is on the investments you've currently put in. You mentioned, we put in 1000 extra FTEs. How much extra growth can you with the current setting, in terms of customers you have in the pipeline, how much can you handle compared to 2019? Can you with, for example, the current base of people, a sales force and branches already handle pricing growth versus 2019? And that's my first question. And the other one is maybe you can help me a bit with the bridge because you mentioned we are approaching in terms of volume levels, 2019 levels? What should we take into account in making the bridge to the rescue line, in terms of forex, and maybe other elements that have come into the bridge? And with now volumes approaching 2019 and looking to the second half, and 2019 second half growth was negative at some point, does that indicate that at some point without even a further acceleration of the market, that you will see already growth in the second half of this year? Those would be my questions. Thank you.
Jacques van den Broek: And that's growth compared to 2019, or?
Marc Zwartsenburg: Yeah, correct.
Jacques van den Broek: Oh.
Marc Zwartsenburg: 2020s, but mainly it's, yeah.
Jacques van den Broek: So Marc, sometimes you get good news. And it's tough to ask further questions. So you're asking great questions, but it's not even like we know and we're not going to tell you, because it's different growth. It's a totally different business. So again, we're growing double digit in LatAm, and in Brazil, and Argentina. So and that's different business. So we're investing in long term business in IT, in perm. So it's not - if it was the same business, I could theoretically say, with so many people, we can do so much gross profit. But again, it's different business. So on the one hand, if we grow more in Inhouse, yeah, the productivity goes up. But that's not the only thing we want to do. So, and then we have business which is better supported from a digital point of view. So in some aspects, we have a higher productivity than two years ago, roughly with the same client. So you know, this is such a moving target. And it's not about the productivity of the growth, so to say. This year it's really about the growth capturing as much as we can, of course, a decent return. So I was sort of, yeah, and this sounds funny, but we're amongst friends here, of course, I was a bit surprised on the productivity gains. So my first reaction was, okay, so we didn't put in people quick enough and enough. So we are not shooting for maximum ICR. That's not the scene now. So and then, yeah, we're gonna have a growth year and a decent return. That is a theme.
Marc Zwartsenburg: And you are positioning for further acceleration of growth in the second half that -
Jacques van den Broek: Yeah.
Marc Zwartsenburg: That's how we should read it?
Jacques van den Broek: Yeah, and that is an entrepreneurial, I wouldn't say risk but an entrepreneurial decision. So the worst that could happen to us is that the growth is speeding up and we're not ready to handle it. What could happen is, you know, it's a little bit less growth than we expected. Well, then we have a little bit too heavy a cost base, that's too bad. But that's the choice we're now making.
Marc Zwartsenburg: Yeah, okay. And maybe then the bridge versus pulling and unwrapping things that are different from 2019?
Jacques van den Broek: Again. Yeah, again, so it's too early to go. Again, the good news is the slide, I especially created this slide for you to show where we are. And then the rest is, you know, talk to you again next quarter, or the quarter after that.
Marc Zwartsenburg: All right. Thank you. Thank you very much Jacques.
Operator: The next question comes from the line of Konrad Zomer from ABN AMRO. Please go ahead.
Konrad Zomer: Hi, good morning, everybody. Three questions, please. The first one is on the development of operating working capital. You mentioned €85 million impact from postponed payments, because of the government relief measures? Should we expect anything for the second quarter as well? My second question is on the organic growth statements that you made. You talked about double digit growth exiting the quarter. But obviously, that is supported by a lot easier comparables. So is the underlying organic growth slightly lower than in January and February or is that too negative? And my final question is on the leverage, 0.2 times, a very healthy balance sheet. Shareholders still have one special dividend to come in September. But can you remind us again, what your plans are on managing the balance sheet from a shareholder remuneration perspective, the leverage target of one pre and post IFRS-16? Thank you.
Henry Schirmer: Yeah, let me start with the first one. Hi, Konrad. Operating working capital, and we had - in the first quarter, we had repayment of Social Security charges, which we benefited from extended payment days, in a way. We also talked about that in quarter four, we had expected that to be drawn in December, but it fell into early days of January. Going forward, that is - there might be little stuff, but not really material. But since we go now into sequential growth, of course, it will - we will finance working capital. But as you also see now in quarter one, we take a very tight look on DSO excess management and therefore it's sort of - I'd expect the normal rhythm of the business kicking in again, higher growth, more EBITDA, little bit liquidity to support the growth. Do you want to take the second one?
Jacques van den Broek: Yeah, I'll take the second one. Actually it's reverse Konrad. Our organic growth compared to last year is actually increasing. So that's why we take this to '19 slide. So it's not just because of combs, we're beating the combs, if you will, from January into April. That's why you see the yellow line getting closer to '19. Whereas of course, the red line 2020 is totally off the chart. And that's also why, for us, we're not looking at 2020 anymore. We're trying to in a way beat the comparisons, and invest in growth.
Henry Schirmer: Yeah, on third one, Konrad, yeah, not really new news there. Just to reiterate, we've made the decision to pay especially at the beginning of October of €1.62 per share. And we're now fully concentrating in delivering another strong year and then we will make decisions on capital allocation but nothing to add at this stage.
Konrad Zomer: Okay, thank you very much.
Operator: The next question comes from the line of Hans Pluijgers from Kepler Cheuvreux. Please go ahead.
Hans Pluijgers: Yes, good morning, gentlemen and lady. One question from my side, sorry, two questions from my side. One is actually going back on the question of Marc on the mix change, with respect to compared to 2019. The bridge, I can imagine that especially let's say looking at which segments has been growing especially like, for example, the transport and distribution, that likely the mix effects is a little bit negative compared to 2019. So is on average, I'd say your wage per temp clearly lower than we have seen in 2019 in your sales? So that's made a slight negative mix impact on the comparison basis, you could give maybe some flavor on that. And secondly, going back on the U.S., you indicated some negative impact on the margin from some idle time. Could you give maybe somewhat more feeling on how big the impact was? And so how we should let's say see the impact also in Q2, with respect to the underlying trend gain in margin?
Jacques van den Broek: Yeah, Hans good morning. On the U.S., it's a little bit more than just the idle time, it's also COVID pay. So you can bill that to a client, but without margin, insurance space, so it's this. And then there is [indiscernible], paid on employment insurance that, of course, in many markets that has gone up, many states are indebted, so that goes up. But as I said, negative in Jan and Feb. I'm not going to give you the details. But March already has normalized a lot. And as you can see, in the result, it's pretty stable, but I just wanted to flag that. But you shouldn't expect too much in the rest of the year of that. Then, yeah, the mix change, you're taking out one thing, which is the wage of December that's not really very relevant for us. Because the business that comes in might come in at lower wages for them, or maybe even a lower margin, but it comes in at a higher conversion, because we specifically do it through Inhouse. So you know, it is what it is compared to '19, it's a different business. And once we've known the full 2021, we can tell you the difference. Important thing this morning is we're very close in absolute volumes, so to say to 2019. And we think that's a theme, we'll get back to you on that one. And we're investing to get it as close as we can but it's too early to say like Marc asked what it will be for the second half of the year, because as always, it's the six weeks visibility.
Operator: There are currently no questions in the queue. [Operator Instructions]
Jacques van den Broek: Good, I think that's it.
Operator: Yes, there are no further questions in the queue. So I'll hand the call back to your host for any closing comments.
Jacques van den Broek: Yeah, thank you very much. So well, happy to share this news with you. I think it's not just good news about Randstad, I think is good news for all of us. We are the bellwether of the economy. So we're very happy with the fact that we can be this canary in the coal mine with some good news. And thanks for attending. We hope to see you on the virtual road shows in the coming weeks. Thank you.
Henry Schirmer: Thanks, everybody.
Operator: Thank you for joining today's call. You may now disconnect your lines.